Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Meredith Fiscal 2021 Second Quarter Earnings Conference.  I would now like to hand the conference call over to your speaker for today, Mr. Mike Lovell. Sir, you may begin.
Mike Lovell: Good morning, and thanks, everyone, for joining us. Our call will begin with comments from Chairman and Chief Executive Officer, Tom Harty; followed by Chief Financial Officer, Jason Frierott. Remarks this morning will include forward-looking statements and actual results may differ from our forecasts. Reasons for the differences are described at the end of our news release that was issued earlier this morning and in our SEC filings. Certain financial measures that we are discussing on this call are expressed on a non-GAAP basis and have been adjusted to exclude the impact of special items. Reconciliations of these non-GAAP measures are included in our slide presentation. Our earnings release and slide presentation are available in the Investor Relations section of meredith.com. An archive of our prepared comments will be available on our website later today.
Tom Harty: Thank you, Mike, and good morning, everyone. I hope you've had the chance to see our news release and our related slide presentation issued earlier this morning. They include disclosures we think you'll find very useful. I'll start with Slide 3. Our audiences continue to count on Meredith's trusted brands and our advertisers are responding in kind. As a result, we delivered record revenue and adjusted EBITDA performance in our fiscal 2021 second quarter, even as the COVID pandemic continues to impact certain aspects of our business. To summarize, EBITDA growth for each of our segments was driven by strong gains in the National Media Group digital advertising and the Local Media Group political advertising revenues, which more than offset adverse COVID-related impacts. We had the best second quarter free cash flow performance in our history and finished the quarter with more than $375 million of cash in the bank. This performance has enabled us to continue strengthening our liquidity and reducing our net debt. As we've discussed in the past, the strategy we're pursuing has two facets. The first, net debt reduction is our number one priority. Our leverage ratio target is 2 times adjusted EBITDA over the long-term. We're making great progress with improvement in our leverage ratio compared to September 30. Second, we will continue strengthening and enhancing our digital and consumer focus capabilities. We reached a critical milestone in the quarter, as digital advertising revenues surpassed magazine for the first time, and our licensing and digital consumer businesses reached record highs. Meanwhile, consumer engagement remains strong. Response rates to our magazine subscription solicitations remain above historic norms, and traffic to our National Media Group sites is expanding. National Media Group consumer-related revenues account for nearly 50% of the segment, and we are leaning aggressively into growing licensing and e-commerce opportunities. We believe we have a strong opportunity for growth ahead. With that, let's go into detail of the quarter. Starting with the digital side of the National Media Group, our team delivered outstanding performance. Digital advertising revenues grew 22% to a record high $161 million. Our multi-year efforts to bring all of our brands together on a single digital platform continues to enable strong consumer engagement, along with growth in advertising and e-commerce revenues. Of note, traffic to our digital properties and partner networks grew significantly, with 16% session growth from the prior year period. Our fiscal second quarter, which includes several holidays, is heavily influenced by food. Allrecipes, the world's largest digital food site, as ranked by Comscore, delivered record performance, with almost 0.5 billion sessions, up 23% from the prior period.
Jason Frierott: Thanks, Tom. I'll begin on slide 5. Looking at the second quarter 2021 consolidated performance, revenues were $902 million, up 11% from the prior-year period. Adjusting for portfolio changes announced over the last year, total revenues would have been up 14% on a comparable basis. With the second quarter complete, we have now cycled through these portfolio changes, as the last actions taken happened in the second quarter of 2020. Advertising-related revenues were $525 million, 23% higher than the prior-year period. On a comparable basis, excluding $10 million of portfolio changes, advertising-related revenues were up 26%. As Tom said, growth was led by a record political advertising across our station group and record digital advertising across our national media sites. That said, COVID continues to impact our results, particularly in our legacy magazine and nonpolitical advertising channels. As we continue to progress through the pandemic, quantifying the precise impact has become more challenging. Our estimate of the COVID-related revenue impact to advertising consumer-related and other activities for the second quarter totaled between $25 million and $35 million, with the majority of declines in the National Media Group. Consumer-related revenues were $358 million, up 3% from the prior-year period. On a comparable basis, excluding $8 million of portfolio changes, consumer-related revenues were up 5%, driven by licensing and retransmission growth. Other revenue, was $18 million, down 46% from the prior-year period. This was primarily the result of non-repeat project work and sunsetting service agreements for sold brands, including Time, Sports Illustrated, and Fortune. On a consolidated level, adjusted EBITDA grew 57% to $304 million from the prior-year period. Growth was driven by $130 million of political advertising revenues, including $118 million of political spot and $12 million of digital advertising revenues, along with 22% growth in National Media Group digital advertising revenues. Fiscal 2021 second quarter free cash flow was $174 million, a $107 million better than the prior-year period, as we benefited from digital and political advertising revenues, lower employee-related items and lower restructuring payments. Turning to the next page, on Slide 6. National Media Group revenues were $576 million, down 4% from the prior-year period. The portfolio changes I mentioned earlier accounted for $18 million of the decline, with consumer and advertising generally impacted equally. On a comparable basis, excluding portfolio changes, National Media Group revenues were down 1%.
Tom Harty: Thanks, Jason. Our consumers today continue to focus on food, home, health, entertainment, and news and information about their local communities. These subjects are the cornerstone of the Meredith Corporation. As we think about our priorities today, I want to leave you with four key thoughts. First, our number one priority is debt reduction. Our goal is to reduce our net debt to a leverage ratio of 2 times, and we're making progress with approximately $450 million of cash in the bank at January 31. Second, we're excited at our digital advertising and consumer revenue growth. This includes achieving a critical milestone with digital advertising revenues surpassing magazine advertising revenue for the first time in our history. We attribute this success to several factors, including investments in our National Media Group digital platform, our deep first party data and analytics capabilities, and our powerful brands, which include People, Allrecipes, Better Homes and Gardens, and Southern Living. These brands are backed by a tremendous creative engine and collectively reach an engaged nearly 95% of American women, more women than any other media portfolio in the United States. Together, these assets and capabilities are Meredith's differentiators and form the basis of our value proposition to advertisers and shareholders. They also position us to benefit from incremental advertising spend as the economy recovers. Third, nonpolitical spot and magazine advertising are recovering at a measured pace, and we expect continued improvement over time. Finally, our advertising and marketing partners are expressing optimism for calendar 2021, citing the expected passage of further economic stimulus legislation and large-scale deployment of COVID-19 vaccines. That said, near-term uncertainty caused by the unstable political environment and persistently high cases of nationwide, are contributing to a slower start to advertising spending in the March quarter. This is particularly true for magazine advertising, including our luxury and travel related brands. As we look into our fiscal 2021 third quarter, compared to the prior year period, assuming no changes in trajectory due to COVID or other macro factors, we expect National Media Group digital advertising revenues up in the mid-teens. Magazine advertising revenues down in the high-teens. Local Media Group nonpolitical spot advertising revenues to be approximately flat. And we expect costs in the third and fourth quarter to return to the normal run-rates. In closing, we're excited by our performance in the first half of fiscal 2021. We're cautious as we look into the second half of fiscal 2021, as there continues to be significant variables at play. To reiterate, our goals are to reduce debt and continue to strengthen and enhance our digital and consumer growth opportunities. With that, we'll open it up to your questions.
Operator:  At this time, I would like to turn the call over to Tom Harty.
Tom Harty: Good morning, everyone. Joining Jason and myself this morning, we have Patrick McCreery, the President of the Local Media Group. We also have Catherine Levene, the President of the National Media Group. And since our last earnings call, Catherine was promoted into a leadership position of the National Media Group, where she previously ran our digital business. So we're thrilled to have Catherine in this leadership position and joining us today. Now we're happy to take your first question.
Operator: Your first question comes from the line of John Janedis with Wolfe Research.
John Janedis: Hi, thanks, Tom. You guys, you talked about your direct marketing response rates. How do you see those trending as you comp at the start of the pandemic? And how you're thinking about it retention relative to historical levels? And then maybe quickly on your comments related to magazine advertising. In terms of the outlook, is that to all it down high-teens? Is that broad-based or is that still confined to some of the categories you talked to you on prior calls? Thank you.
Tom Harty: Great, John. Yes, so one insight that we found through the pandemic, consumer insight. I think it probably took us most by surprise, was the response rates to magazine. So consumer demand for magazine solicitations shot up on day one of the pandemic. And as I mentioned, we had a 50% lift in direct response rates in the spring and close to 40% for the balance of the year. But those trends continue. There is something I think - when we look at women, they're doing both, they're looking at digital, they're looking at magazines. And there is something about the magazine format in the pandemic, and the content that we deliver that's spiking that demand. So we're taking advantage of it. And actually Jason has been leaning in and giving the team more investment dollars. So as we talked about in the past, more direct to publisher or deals that we have ourselves with consumers. In the long run, when you look at consumer lifetime value, it's a great, great thing for us. So we see that trend continue and we're excited about it. When you look at advertising, where we've been most hurt through the pandemic, is obviously, been in our travel and luxury brands. So some of those have been down and continue to be down, over 50% year-over-year. So we're seeing that trend continue. So when you say - when we look at the whole portfolio, some of our brands are performing closer to flat, in some instances actually up. And then we have others, like luxury and travel that are down significantly. So it's a little bit of a tale of two cities depending on the brand and the category. But we're excited to see as the COVID vaccines come out, we expect all of that travel advertising to come back and we're prepared for it. So again, we don't know exactly when it's going to happen, but we're cautiously optimistic as we look to the future at some of those categories that have been highly impacted by COVID-19.
John Janedis: Okay. Thanks. Maybe one last one. On your comment on costs moving to a normal run-rate going forward, are there specific areas to call out what we’ll see in the investment? And what does normalized cost levels actually mean?
Jason Frierott: Yes, I think, as we look at kind of cost levels pre-pandemic, that's - I think that's what that's really referring to, John. I think the - as you think about our cost levels in the third and fourth quarter last year, I think were low for reasons that we've talked about before, specifically in employee-related costs. We've talked about kind of the one-time salary actions that we've taken. We talked about in terms of benefits and health care costs. People weren't going to doctors, those types of things. And now that's kind of come back to a more normal run-rate. So those types of costs that were employee-related nature I think would be the highlights that I would give you there.
Operator: Your next question comes from the line of Dan Kurnos with Benchmark.
Dan Kurnos: First off, congratulations Catherine, well deserved. Just, Tom and maybe even Catherine here, I guess, we've been hearing a lot, obviously, just kind of out of tie-ins that's something that John just asked on your tail end remarks here, Tom, just around the impacted mobility here, obviously digital, based on your initial expectations when we started the quarter and then where they finished even much better. We've had an unfortunate resurgence of COVID, which continues to appear in Q1 here. And I just wanted to get a sense from you guys how you're thinking about the sustainability of the growth year given all of the changes you've made, clearly you guys are benefiting from trends, but also a lot of internal investments to the extent that you have kind of any visibility here in terms of the digital outlook? And how long the sustained level of  traffic revenue year-over-year growth, given that is pacing above what I think kind of your long-term targets are, that would be super helpful to start? Thanks.
Tom Harty: Sure. I'll ask Catherine to pile on. But just to begin. I think that our guidance for advertising for digital in Q3, up mid-teens kind of shows the strength of what we're looking for in Q3. So we believe we've got a long runway or growth from an advertising perspective. But also I want to make sure that you're focusing in on some of our other digital growth, specifically related to consumer. So I'd like Catherine to make some comments about what we're seeing in our licensing area and our e-commerce area, and those investments that we've made over the last five years are really starting to pay dividends. So maybe Catherine can give some observations about advertising, but also focusing on consumers.
Catherine Levene: Sure. So let me just start with advertising. I think you know was, obviously, our session growth has been strong and expense sustained. We - I think as people go back to the office and life opens up, traffic may not be at the same growth rate as it's been through COVID. On the other hand, open programmatic is only a third of the driver of growth in the digital business. And every demand channel we saw growth. So that includes our direct sales and premium programmatic, that's our large sponsorships. That was up 22%. Video is up significantly. Audio is up significantly. Digital consumer, as Tom said, is up significantly as our - and we signed twice as many million dollar plus partnership. So in the advertising categories, every channel, direct and premium programmatic, which are sold by our sales force and really driven by our competitive advantage, that's noted throughout new platform, our relationship with consumers and our ability to target really specific messages. That's growing equally to our open programmatic session growth. So that's the first part in video - I mean, sorry, in advertising. In consumer, we're seeing even stronger growth, and may be hard to see in some of our numbers. But the e-commerce portion of our consumer digital revenue is up in the mid '60s, right. So we're talking about affiliate commerce, marketplace, promotions, etc. That's growing significantly and we expect that to be sustained at those rates moving forward. Now, you can see that in some of our prime day numbers that Tom talked about, Black Friday. But it's ongoing throughout the quarter. The other area we see and we expect to be moving into are paid products. We're still in the early part of our thinking around paid products in our strategy, but we are developing new products and services that consumers will ultimately pay for it. So we see a lot of opportunity in the content, commerce and consumer revenue categories of our business, on top of the advertising.
Dan Kurnos: Yes, I mean, I was going to ask that next, I just didn't want to put it all in one question. But yeah, Catherine, can you dig a little bit more into that? I know this is a question I asked on the last call, just around, kind of e-com and licensing opportunities. Obviously, you have had a very strong BHG relationship with Walmart, it feels like there's increasing Allrecipes opportunities. I'm just curious, are you driving a lot of your revenues through affiliates or Amazon? Are there opportunities to get more incremental brands into the marketplace? How much - How heavier you're leaning into those areas? And what I mean, big growth rates off of slightly smaller numbers, but is over time over the next, I don't know, three to five years. How big a piece of the business do you think kind of those components will to get to?
Tom Harty: Yes, I'll start off on the last, Catherine. I think that our licensing business grew by just over 40% in the quarter. And to your point, that is two main drivers of that. And one of them is Apple News Plus. So that's our relationship with Apple, where we have our premium content in a paid environment in Apple News and we get paid a royalty on that, and that's been growing significantly. And then, Walmart continues with the Better Homes and Gardens brand to grow. Through the pandemic, it's up in the over 10% kind of consistently, and so we've seen nice growth through this period of time and. And that's been a long-term relationship that we've been growing kind of year-over-year. So, licensing, I'll ask Catherine to get a little bit more detail about the digital consumer area and make some comments. But again, it's not just about advertising. Our strategy from a digital perspective is to grow consumer revenues on products and services, and some of that is going to be licensing, some of that's going to be direct products that we sell to the consumers, some of it's going to be affiliate deals. But a significant area of growth that we see going forward. I don't know Catherine if you have any other comments in that area.
Catherine Levene: I think that's exactly right. I'm happy to answer any other questions as well.
Dan Kurnos: No, that's fine. I appreciate the incremental the color. Anyway, thanks for the clarity, guys. Congrats on the quarter. And make sure you put the money in the bank. Whether it used mind.
Operator: Your next question comes from the line of Jason Bazinet with Citi.
Jason Bazinet: Can I just ask a follow-up on that $10 million nominally your licensing growth. I think the thing that everyone's probably trying to figure out is how much of that sort of how this will be of the growth, sort of how's this secular tailwinds that could continue like Apple News Plus as opposed to commerce driven, right, which will obviously be a bit more bumpy up and down versus the holiday season versus a normal quarter? Is it sort of like 20% of the growth is Apple News and the other part is commerce-related something like that?
Tom Harty: We could dig out the numbers. I'll ask Jason to see if we have the numbers on that. I don't have it off the top of my head. But I think, what I would say about Apple News Plus, Jason is that, it's really not related to anything related to COVID. This was a long-term deal that we cut with them and we have escalators related to - year-over-year escalators related to the deal, related to our content performance within Apple News Plus. So it's really on time spent with our brands. So this is something, a lot of this growth even pre-COVID we were anticipating and see that kind of continuing to grow as we go forward. So really not related to COVID. I don't know if we have the exact numbers we can break down.
Catherine Levene: I can tell you that. That over half of that business is our e-commerce business, which is our affiliate business, and that's the business that I said was growing in the high '60s this past quarter and we see that continuing. So we are in fact investing more in that area of affiliate commerce. Though, I don't see that slowing down in the near-term.
Jason Bazinet: Even sequentially.
Catherine Levene: Year-over-year.
Jason Bazinet: Year-over-year. Okay. That's what we're trying. Okay, perfect. Thank you.
Catherine Levene: Yes, year-over-year.
Jason Frierott: Yes, obviously there is some seasonality associated with that, Jason. When like - there is a lot of commerce activity that happens that's has been talked about with Amazon Prime Day and things like that as well.
Jason Bazinet: Yes, totally get it. Thank you.
Operator:  Your next question comes from the line of Kyle Evans with Stephens.
Kyle Evans: Catherine, congratulations. You talked a lot about in and kind of the unit volume trends on the digital side. What is the contribution of video to national digital? And where do you think that settles over time?
Catherine Levene: Yes. So video is still a fairly small portion of total video advertising revenue, which in some ways is the good news and the bad news. The good news is that we have a lot of runway in video. So we've done - we're starting to invest more and more, I think we talked last year about investments in video. We weren't able to use all of that money in this past year because of COVID, but we expect to be leaning in heavily into video. And in fact, we just hired a new Chief Digital Content Officer, who came from  if you're familiar with PaceMate. We reached hundreds of millions of users each month in video, and she is the head of content there. So we just brought her over to bring her expertise across all of digital editorial, but to remain heavily into video.
Kyle Evans: I'll switch over to Patrick. You've been neglected, Patrick. If I heard Jason correctly, your estimate on political crowd-out would almost completely negate the year-over-year decline in nonpolitical spot TV ads. First off, did I hear that right? And that - Which would mean we were kind of flattish ex-political. And then, how do we get there? I mean, this is a business that was waylaid in March and was down massively, kind of where are the pockets of strength that are getting us back to flattish core.
Patrick McCreery: Yes. No, you did hear correctly. And for those stations of ours that were not heavy in political, that's exactly what we saw, flattish. I think - But we've seen strong growth in professional services quarter-over-quarter, and we've even seen strong growth quarter-over-quarter in auto. I mean, look, retail and restaurants are still really challenged, no doubt about it. There is a level of uncertainty there, but we are seeing continued sequential quarter-over-quarter improvement. So I mean, really, that's - I think there's also a lot of frankly pent-up demand out there, right, for these businesses that would like to grow and need a way to do that.
Tom Harty: And Kyle, I'm just piling on with Patrick too. The portfolio, it's not - we have a different portfolio with different performance by market to. So we have some markets like Las Vegas and Portland that have obviously been more affected by COVID and some of the political unrest that's been happening in those markets. So that's what you would expect to see some recovery as we get through this crisis.
Kyle Evans: Patrick. I'm not asking you to guide. But how should we think about kind of annualizing the pandemic pressures that hit us last March and the reverse political displacement kind of in the second half of calendar ' 21? I mean, what are the - I'm having trouble thinking core over the next four quarters?
Patrick McCreery: Yeah, well, look. I think that - I'm looking forward to this quarter because I've got the Super Bowl on CBS, and that's a nice - that's a nice bump. And then, we're up against not having the NCAA Tournament last March and April, which are turning for this year and that will provide another nice secular bump. So I think that as you look at core, there are still plenty of items and reasons that come advertise. And I think you're going to continue to see the quarter-over-quarter improvement that we've been seeing. I'm not - I don't want to. I know you're now looking for a guidance, I'm probably not the one to give you the guidance. But we're seeing good pacings this quarter that continue that trend.
Kyle Evans: On the national side, I feel like we're - I don't want to beat this horse again because you talked about very strong direct response mail in digital on subscription, but we're still looking at negative revenue numbers there? I feel like we're rolling off of some of the third-party stuff that you inherited with time, as well as rolling off some kind of comparable title changes that you made. Could you just kind of update us on where you are? Or where we all are in rolling off the Time subscription third bringing and rolling off the comparable title on the magazine side?
Patrick McCreery: Well, I think, Kyle. I would say that we are in the third year. This is the third year we actually just celebrated our anniversary of the Time Inc. acquisition on February 1. So, the thing that I was most excited about. We talked about the journey as to timing that it was - the integration was a heavy lift and it was going to be full two-year integration. And what we're seeing in this year is the fruits of our labor for those two years. And we're starting to see the digital performance because we're on one unified platform. We got rid of the titles that we didn't want to set that we sold. So even with the COVID pandemic that we were hit with, which obviously, was a complete surprise - The National Media Group, in the current quarter that we just closed, is up in operating profit and up in adjusted EBITDA year-over-year. And they also are up for those same metrics in the first half of the fiscal year. So outstanding performance. We wish we didn't have the effect of the COVID effects - the COVID issue. But again, kind of what we expected that this was the year where we were going to finally see the fruits of our labor pay off and really start to see us return to growth. We are - it's always lumpy, and that we make it a little hard for you guys. When we made the decision on Family Circle last year and it creates some adjustments that we need to make. This will be the first clean quarter with no adjustments as we enter Q3. And again, on to your question on consumer. We are always looking to take advantage of consumer profits over the long-term, and I'm talking decades. We've optimized the National Media Group magazine business to more of an advertising-driven model. We obviously, we get revenues from consumers and advertisers, but we've sacrificed consumer profits at higher rate basis and more copies to be able to take advantage of a robust advertising marketplace. Over the last year and into the future, we're going to be changing that model, because obviously, when advertising demand comes down and you see the numbers that we mentioned, where we see that demand for consumer, can we increase price, can we get rid of less profitable circulations, that's ongoing change that will happen over time. And you got to think about long-term on consumer marketing, where you get lifetime value, you acquire somebody, you can step them up in price of auto-renewals. So it takes time. And we have that accounting issue, where we've talked about that, when we optimized profit direct to publisher, subs, which are more profitable over the long run can decrease circulation revenue related to agents. So a long-winded answer, but where we see opportunity for the magazine business. Consumers love magazines. We sold more copies in our special interest copies last year than we did the year before. Even with the pandemic, subscription profit is going to be up. So it's something that we're excited about or always going to be tweaking and optimizing that model.
Operator: Your next question comes from the line of Aaron Watts with Deutsche Bank.
Aaron Watts: Everyone, thank you for letting me be on. I appreciate your comments around net debt reduction being a priority and you've built, clearly built a healthy cash balance at end of the calendar year, which helps overall your leverage metrics. I'm curious how you're thinking about the priorities for that cash? And when you might be comfortable enough with the operating backdrop to perhaps use that cash to pay down more debt balances and bring your gross debt leverage down alongside your net debt leverage?
Tom Harty: Great, I'll ask Jason to kind of take that.
Jason Frierott: I mean, in terms of how we've thought about it, obviously, navigating the pandemic of a whole host of unknowns has been kind of a sense of caution for us. And as we look into the beginning of this calendar year, a little bit of a slow start in advertising, as Tom said before. We're looking at consumer metrics, GDP, those types of things in terms of where we are and what we see in front of us. Those are the kind of key metrics that we're looking for to kind of give us a little bit of a guide in terms of the timing of doing that. We're absolutely going to do that. I just want to make sure that we're being thoughtful in terms of the timing of doing that and kind of working through that in a methodical way versus maybe kind of a step back. So as the vaccine takes course and takes the impact, those are all positive trends for us. So I'd say that those are positive indicators. And as we move forward, we will continue to evaluate that and make sure that we're taking that into consideration as we determine kind of when to take down our debt and pay that off.
Aaron Watts: And then if I could ask one other question. Consolidation in the TV space understandably took a bit of a breather in 2020. As we embarked upon a new year with the new administration that a new FCC had, how are you thinking about the potential for meaningful M&A activity to take place in the space broadly? And what are your latest thoughts on how we should be thinking about Meredith participates in? And that is either a buyer or seller of TV assets. Thank you.
Jason Frierott: Yes, listen. We always are looking in the marketplace for opportunities we participated in the past 12 months, looking at opportunities to acquire. Obviously, our number one priority is debt reduction. So would have to be something really extraordinary that fits our strategy, either on the Local Media Group side or on the National Media Group side to make a decision on that. But we're always looking and considering opportunities as we go forward. We believe we have a fantastic portfolio of television stations that obviously had record performance and threw off a lot of cash, and these two operating segments together are really performing super well and generating cash and allowing us to pay down debt and give us more flexibility as we go forward with our balance sheet and how we look at that. So that's kind of where we stand.
Tom Harty: Well, I think that wraps up our Q&A session. Thank you all for participating today. I just want to make one comment that we're 11 months into the COVID pandemic crisis. And I just like to thank the Meredith employees and were almost coming up to the anniversary, where we asked all of them to the pivot and work from home, and they obviously faced a lot of things, changed from a personal perspective and obviously from a work perspective. And I'm just thrilled with their performance and I appreciate all they've done to move Meredith forward during this crisis, and thank them. So with that, I'd just like to close, and thank you very much for participating. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.